Operator: Greetings. And welcome to the Lithia Motors First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. The question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now turn the conference over to our host, John North, Vice President of Finance. Please go ahead.
John North: Thanks and good morning. Welcome to Lithia Motors first quarter 2015 earnings conference call. Before we begin, the company wants you to know that this conference call includes forward-looking statements. Forward-looking statements are not guarantees of future performance and our actual results of operations, financial condition and liquidity and development of the industries in which we operate may differ materially from those made in or suggested by the forward-looking statements in this call. Examples of forward-looking statements include statements regarding expected operating profit, projections for our second quarter and 2015 full year performance, expected increases in our annual revenues related to acquisitions or open points, anticipated availability from our unfinanced operating real estate and anticipated levels of future capital expenditures. We urge you to carefully consider this information and not place undue reliance on forward-looking statements. We undertake no duty to update our forward-looking statements, including our earnings outlook, which are made as of the date of this release. During this call, we may discuss certain non-GAAP items such as adjusted net income and diluted earnings per share from continuing operations, adjusted SG&A as a percentage of revenues and gross profit and adjusted pretax margin. Non-GAAP measures do not have definitions under GAAP and may be defined differently and not comparable to similarly titled measures used by other companies. We caution you not to place undue reliance on such non-GAAP measures, but also to consider them with the most directly comparable GAAP measures. We believe the non-GAAP financial measures we present improve the -- transparency of our disclosures, provide a meaningful presentation of our results from core business operations, because they exclude items not related to core business, and improve the period-to-period comparability of our results from core business operations. These presentations should not be considered an alternative to GAAP measures and a full reconciliation of these non-GAAP items is provided in the financial tables of today's press release. We’ve also posted an updated Investor Presentation on our website lithiainvestorrelations.com, highlighting our first quarter results. On the call today are Bryan DeBoer, President and CEO; Chris Holzshu, Senior Vice President and CFO; and Sid DeBoer, Executive Chairman. At the end of our prepared remarks, we will open the call to questions. I am also available in my office after the call for any follow-up you may have. With that, I will turn the call over to Bryan.
Bryan DeBoer: Good morning and thank you for joining us. Earlier today we reported first quarter adjusted net income from continuing operations of $36.9 million, compared to $27.1 million a year ago. We earned a $1.39 per share in the first quarter, compared to a $1.33 per share last year or an increase of 35%. Our revenue was approximately $1.8 billion in the first quarter, an increase of 56% over the prior year. From this point forward, all comparisons will be on a same-store basis. For the fourth quarter in a row, we saw double-digit increases in all four business lines. Total sales increased 11% and SAAR was $17.1 million for the first quarter, the best quarterly results in 2006. In the quarter, new vehicle revenues increased 11%. Our new vehicle average selling price increased 3%. Unit sales increased 9%, which was higher than the national average of 6%. Domestic units increased 7%, compared to 4% nationally. Import increased 10%, compared to 6% nationally, and luxury units were up 12%, compared to 11% nationally. Retail used vehicle revenues increased 11% in the quarter. Our retail used vehicle average selling price increased 4% as late model vehicles continued to make up a greater percentage of the overall used vehicle sales mix. We retailed 6% more used units over the prior year, resulting in a used to new ratio of 0.9 to 1. In the quarter, certified units grew 15%, core units increased 5% and finally, value auto units, or vehicles over 80,000 miles and increased 3%. Our used vehicle gross margins were unchanged from the prior year. We sold a monthly average of 57 used vehicles per store, up from 55 units in the first quarter of 2014 and 50 units in the first quarter of 2013. We continue to focus on procuring core product and selling 75 used units per store per month. We believe that the increased availability of used cars presents a continued opportunity for our stores to increase unit sales in the future. This remains a top priority for our teams in 2015 and beyond. Gross profit per new vehicle retailed was $2,160 compared to $2,258 in the first quarter of 2014, a decrease of $90 per unit. Gross profit per used vehicle retailed was $2,602 compared to $2,505 in the first quarter of 2014, an increase of $97 per unit. Our F&I per vehicle was $1,233, compared to $1,181 last year, or an increase of $52 per vehicle. On the vehicles we sold in the quarter, we arranged financing on 73%, sold a service contract on 44% and sold a lifetime oil product on 37%. Our penetration rates improved in all three areas when compared to last year. In the first quarter, the blended overall gross profit per unit was $3,656 compared to $3,599 last year or an increase of $57 or approximately 2%. As we have previously discussed, our store personnel monitor overall gross profit per vehicle retail sold to evaluate and drive their performance. While we continue to see lower new vehicle gross profit per unit, this was more than offset by improvement in used vehicle gross profit per unit and F&I per vehicle. Our service, body, and parts revenue increased 11% over the first quarter of 2014. This was on top of last year’s 9% increase over the first quarter of 2013. Customer pay work increased 9%. Warranty sales increased 31%. Wholesale parts increased 5% and our body shop had a slight decrease of 3%. Our total gross margin was 15.8%, compared to 16% in the same period last year. As of March 31st, consolidated new vehicle inventories were at a day supply of 62, a decrease of 7 days from a year ago. Used vehicle inventories were at a day supply of 49, a decrease of 3 days from a year ago. The acquisition market remains robust and we believe the combination of moderating new car sales environment, coupled with an ageing dealer body will continue to provide opportunities for consolidation. We are actively evaluating acquisition candidates and note that with the DCH combination, we now have identified over 2,600 potential target stores. We remain confident in our ability to find accretive purchases to increase our portfolio and grow earnings. We also still seek considerable opportunities within our existing store base to improve results. Increasing our new vehicle market share, selling 75 units per month per store, capturing increasing units in operation, returning to our service departments, controlling costs, improving productivity and other corporate synergies all remain as opportunities. The DCH combination is solidly on track and the speed of our integration continues to surprise us. We remain excited by our organization’s ability to share best practices to identify areas of opportunity. Increasingly, we are working together as one team, aligned with the common mission with similar values build upon our teams and around our customers. In summary, we are humbled by the ability of our two organizations to come together as one cohesive team. With that, I will turn the call over to Chris, our CFO.
Chris Holzshu: Thank you, Bryan. At March 31st, 2015, we had approximately $71 million in cash and available credits, as well as unfinanced real estate that could provide another $116 million in 60 to 90 days for total liquidity of $187 million. During the quarter, we completed $41 million in net mortgage financing, as we positioned our balance sheet after the DCH integration. We will continue to selectively mortgage properties to provide additional flexibility and take advantage of the current rate environment. At the end of the first quarter, we were in compliance with all our debt covenants and increased our current ratio to 1.21 to 1 to ensure adequate working capital. Despite the increases in our outstanding debt level as a result of the recent acquisitions, our net debt to EBITDA was approximately 2.2 times, below our maximum target of under 3 times. Our free cash flow as outlined in our Investor Presentation was $34 million for the first quarter of 2015. Capital expenditure which reduces free cash flow figure was $25 million for the quarter. We estimate generating over a $110 million in free cash flow for 2015, providing significant capital to reduce our leverage or to deploy for acquisitions, share repurchases, dividends or internal investment. Our first choice for capital deployment remains the growth through acquisitions and internal investment. But regardless of category, all investments decisions are measured against strict ROE metrics and will be solid long-term investments for Lithia’s future. Our first quarter adjusted SG&A as a percentage of gross profit on a same-store basis decreased 120 basis points to an estimated 67.1%. On a consolidated basis including the effect of recent acquisitions, our adjusted SG&A as a percentage of gross profit was 71.3%. Our operational team will be working diligently in the short to medium-term to return to industry-leading SG&A performance. Throughput as a percentage of each additional gross profit dollar over the prior year we retain after selling cost and adjusted to reflect same-store comparisons was 45%. We continue to target incremental throughput in a range of 45% to 50% in the future. Based on our results in the first quarter, we have increased our 2015 guidance as follows. We expect second quarter 2015 earnings per share of $1.55 to a $1.59 and full year 2015 earnings per share of $6.20 to $6.30 per share. For additional assumptions related to our earnings guidance, I’d refer you to today’s press release at lithiainvestorrelations.com. This concludes our prepared remarks. We would now like to open the call to questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Steve Dyer with Craig-Hallum. Please state your question.
Steve Dyer: Nice quarter.
Bryan DeBoer: Good morning, Steve. Thanks.
Chris Holzshu: Steve.
Steve Dyer: You recently announced that you were going to bump up the invoice place but not sticker price but about a percent or so. Is that -- I know you don’t have the exposure to them that you once did on a percentage basis, but is that something to be concerned about with other OEMs or how would you anticipate managing something like that?
Sid DeBoer: Steve, this is Sid DeBoer. Hey Steve, I’m on our National Dealer Council and obviously, we’re not excited about them changing what appears to be our margin. But in reality, it could work out in our favor. They’ve brought themselves in line with where Ford and General Motors are in terms of a discount, in terms of MSRP. But in reality, they’ve got such a stair stacked incentive program, if nothing else, it’s put more money available for that which could mean -- because they are not going to give up market share. They are on a roll. They’ve gained market share. I think for, what, 16 months in a row. I just don’t see them allowing that to impact sales at all. So could end up, there is more of the gross profit hidden from the customer then. If they put it back in the incentive drawer, it could help margins. So I’m not negative on it. I don’t like it. I think it’s nice to have a high price and some room to trade but that’s just the old fashioned car dealer in me.
Steve Dyer: Got it. Thanks Sid. Geographically, what are you guys seeing and what -- it wouldn’t seem that that you are seeing much in the way of a falloff given your guidance but some of the energy states, have you seen anything on the margin there that is impacting anything?
Bryan DeBoer: No. Steve, this is Bryan. There are some variance but overall the country seems pretty stable. If you look specifically at the energy markets which we really have four that are centered on that. Our Texas revenues were up 9%, Montano was up 15%, Alaska was up 26% and North Dakota was up 15%. So all in all, if you balance that, it’s about -- it's about average where the company is performing.
Steve Dyer: Okay. Thanks. And then lastly, I know you guys are always in hunt for acquisitions, are there any common denominators other than valuation, in terms of size of the deals you guys are looking at, mix et cetera. Would you do another big deal? Are you kind of busy digesting this one and you are looking for small ones or any color as to what you guys are looking for, it would be great?
Bryan DeBoer: You bet, Steve. Bryan again. There is no question that we believe that another sizable acquisition now. Obviously, there is only about nine other ones that are larger than DCH in the country so those maybe a little hard to come by. But ones that are about half that size or maybe a quarter of that size are out there. We believe that the integration of DCH has been very smoothly. I think we proved to ourselves and the combination of the two teams that were open minded. We challenge each other with best practices that the idea of bringing in our management team that has slightly different cultures and blending them together is something that the management teams can handle and can challenge and be inspired by. So we really believe that those are definitely on the radar. We are not solely looking at $500 million or $1 billion acquisition. We’re still looking at our typical strategies where we buy $50 million to $70 million store size. And there is a pretty active market in that arena both in our exclusive markets and now in the metropolitan market. I think I mentioned we really increased our availability of candidates from about 1200 to about 2600 when we went into those metropolitan markets. Now, we still focus on the dominant manufacture in what we would call a dominant area of influence even in the metropolitan areas.
Steve Dyer: Great. Helpful. Thanks a lot guys. Congrats.
Bryan DeBoer: Thanks Steve.
Operator: Thank you. Our next question comes from Paresh Jain with Morgan Stanley. Please state your question.
Paresh Jain: Morning everyone. Let me start with the question on guidance, especially in context of the $7 EPS milestone. Now guidance went up by $0.25 and the 1Q be itself was about $0.20. You are also expecting significant uptick in used margins and P&S margins and F&I for the rest of the year. So couple of questions here, wouldn’t that suggest a pull forward timing wise offsetting the $7 target and given that guidance only went up by $0.25. Can you highlight some guidance that have an offsetting impact on the guidance?
Chris Holzshu: Yeah. You bet. This is Chris. So as Bryan mentioned in our prepared remarks, our revenues were up 66% or almost $700 million in the quarter. So obviously, we have lots of opportunities to work on and based on the detail we saw in the first quarter, we are optimistic about what the future holds. However, consistent with the way that we’ve laid out our guidance historically as we look at our current store performance and we look at current trends and we make sure that we are executing before we actually promised the results for the year. So we have three quarters less as far as the run rate for 2015 and we feel that incrementally improving the guidance. And as items come to fruition on the execution, it’s going to be our strategy and we hope to continue to rise throughout the year.
Paresh Jain: Got it. And just a follow-up here on the drivers of the guidance chain. When we look at the used P&S and F&I, the three areas where you expect to cross synergies from DCH? Parts & services margin and F&I seem to be back to pre-DCH levels. In facts parts & services margins have been above pre-DCH levels. So was this a case of very low initial expectations and you’ve just been more conservative or are you already seeing some changes at the ground level in these areas?
Bryan DeBoer: Hi. This is Bryan again. When we decided to combine with DCH, we really saw that there was opportunities. And I think as we outlined over the last few quarters, we expected that a lot of those synergies and the ability to tweak their operating model when they were already producing great revenues and it’s fairly solid growth, but the ability of them to be able to bring it to the bottomline has taken effect a little quicker than expected. Their West Coast stores have been very experienced on being able to make changes that quickly reflect on the bottomline. East Coast stores over the last few months are starting to take hold as well. So we are pretty pleased with where that’s added. It’s probably a little ahead of where we planned. And in addition, I would say this, the George, TY, and their teams are divisional leaders of DCH. When it comes to those ideas the corporate synergies that we’re really looking at and I think I mentioned really briefly about it last call. We expected those synergies to happen over the first two years or so. We actually believe that we are about 75%, 80% of the way through those corporate synergies. And the idea of the company really working together is one, while still sharing best practices that are maybe volume focused with DCH where their net focused with Lithia are blending quite nicely. So I think the overall result is being reflected a little sooner than expected in our bottomline profit.
Sid DeBoer: Paresh, this is Sid. Just it’s a good point to remember that that projection that we make is built store by store by store by store manager with company expectations and store expectations. It’s not a number we just pick out of the air. And so it’s built ground up and it’s not a macro decision, it’s built on real forecast for each store. So, I mean, that’s how it ends up coming out is what we predict. And hopefully, we can exceed, I mean that’s the goal obviously, but we’re building on a real basis.
Paresh Jain: That’s great color, guys. Thank you.
Sid DeBoer: Thanks.
Operator: Our next question comes from Jamie Albertine with Stifel. Please state the question.
Jamie Albertine: Great. Good morning. And congratulations on a solid quarter yet again, gentlemen. So if I could ask, I just really want to focus on used if possible and wanted to get your opinions at a high level, where Lithia thinks we are in the used retail cycle and how important or critical is extracting, whether it’s 57 units per store per month going to 75% or 93% used new retail going to a 100. Now how important is the used business optimization to your overall trajectory to that $7 EPS target? And so how should sort of we think about that for the next quarter but maybe even for the next 1 to 2 years?
Bryan DeBoer: That’s a good question, Jamie. This is Bryan. I think when we look at our opportunities in the coming two years, we break it down into three key factors that are going to be able to drive the performance upward. Used cars obviously you hit on is probably the largest part of that and 57 units per store we still strongly believe that the 75 is within our sites, excluding having DCH coming in, in another three quarters which will raise it a little bit because their stores are a little bit bigger. When we look at that one factor, the supply of vehicles is getting better and in those three to seven-year-old vehicles which we call core product, which if you recall is also the driver of value auto product is starting to loosen. So there is becoming a greater supply because the SAAR rate that are starting to push through now are starting to become higher and we really see that continuing for some number of years, three to five years. So we really believe that that’s z pretty easily accomplished task. The other two key drivers are really that flow through business in service and parts which we still believe carries tons of opportunity become that all and one type of shopping experience for our consumers. And then lastly, we would say that the opportunities within our existing stores in terms of productivity, cost management, as well as new vehicle market share in our underperforming stores, which is a sizeable amounts still, we believe that that is the third driver that can help take us to the $7 and beyond marks.
Jamie Albertine: Very helpful, Bryan. Thank you for that color. And then this is a quick follow-up. But is there any detail that you can share with us? And as it relates to the first quarter, either across the different segments GPO values core or regionally as now you’ve grown with DCH that might be helpful, and sort of kind of pinning down where we are in the year in terms of used vehicle supply and demand? Thanks.
Bryan DeBoer: So you bet, Jamie, I have got some extra color. I think it’s fair to say if we look at the ability of the Lithia stores, they become pretty balanced on how they stop and drive the three segments of value core and certified. However, we still probably have a third of the stores that don’t play very heavily in the value auto products. Our Texas stores are starting to do that a little more which is good. And I think with the slight moderation of vehicles sales there at 9% up, they are starting to look for more opportunities, so that’s good. If we look at the DCH side value autos in many of their stores hasn’t really been part of their formula. So as we look at the year going forward and we look at the supply sort of there, I think it really comes down to a belief that they can start to find these vehicles and buy those core products that take in those value vehicles. And I know their general manager and service management team are working closely to be able to recondition those cars and then market those cars to consumers that may not have looked toward the DCH stores in the path for that type of vehicle. So it is a slow process. And it was with Lithia but no matter what they have lots of opportunity in their top of funnel trade-ins is probably the easiest way to get to those value auto car. So we’re really excited to see the early stages as some of the stores to start to take hold in that value auto segment.
Jamie Albertine: Thanks again and good luck in the second quarter.
Bryan DeBoer: Thanks, Jamie. Anybody home? Diego? 
Operator: Thank you. Our next question comes from Brett Hoselton with KeyBanc. Please state your question.
Brett Hoselton: Good morning, gentlemen.
Bryan DeBoer: Hi, Brett.
Brett Hoselton: I had two questions. First, on the DCH front, similar to the question was asked by the previous caller. If I kind of reverse through the numbers disaggregating DCH from your core operation, it seems to imply that if I assume a 2.5% net margins for Lithia’s core operations which is kind of what you’ve been running at for the past couple years. It seems to imply about a 1.2% net margin for DCH. And my question is where do you think that you could potentially take that margin? I mean, some of the larger peer metro dealers so forth, the public dealers and so forth are kind of in that mid to even high single-digit range but what your expectations? Where the margins for DCH might -- you might be able to take those?
Chris Holzshu: Yeah. Hey, Brett. This is Chris. I think when you get that far down the line, it’s hard for us to decouple the DCH margins with the Lithia margins, especially as we continue to integrate. I think the easier way for me to approach is probably more from just an SG&A perspective. And if you look at our SG&A gross on the same store basis, I think we’re still industry leading at 67 some percent. But if you look at what we were for the quarter, overall at 71.3%, by default, I mean that the SG&A on the DCH segment and the additional acquisitions that we brought in was north of 80%, which is a sizable incremental opportunity for us. I mean, 10% on an $80 million gross profit numbers is north of $8 million a quarter. So it’s not lost on us, the opportunity is not lost on us. The margin improvement that we have to expand with DCH and the other acquisition that we brought in on the Lithia side in 2014 and we’re going to continue to work on those and continue to work to get our margins overall back up to those pre-acquisitions, those pre-DCH acquisition level.
Brett Hoselton: Excellent. Great question. Thank you. Good answer. Thank you very much Chris. And then finally in -- some of your peers have talked about a bit of a slowdown. We’re seeing a bit of a slowdown in M&A opportunities. They’ve talked valuations maybe being a little bit higher and some are taking a tact of focusing more on share repurchases and so forth. I think your approach is definitely focused primarily M&A. My question is how are you seeing the pace of opportunities for yourself? I mean, I understand, the DCH obviously gives you more opportunities. But just if you were to kind of think about it on a same-store basis or what you might expect the DCH was part of the business a year ago? Are you seeing more or less opportunities and how you’re seeing this valuation and so forth?
Bryan DeBoer: Brett, this is Bryan. I would say that the current stage continues to become more accelerated in terms of candidates that are out there. I think it’s accurate that the pricing on those deals has also grown some. There is some hot air there I really believe that because we’re still not seeing a lot of those acquisitions break loose at those numbers. However, I do believe that there is a lot of people out there with a lot of cash in their pocket that are looking for deals and I think it really boils back down to the ability to operate those stores and have people that are on the benches ready to run those. And then you’re operating, what I would call, you’re forecasting and your ROE will fall into line a little easier and I think with the talent that we have sitting on the bench, we can be competitive and continue to grow at a pretty good clip on acquisitions at whatever pricing may or may not be out there.
Brett Hoselton: As you think about valuation, Chris, are you thinking or Bryan, I’m sorry.
Bryan DeBoer: Okay.
Brett Hoselton: As you think about evaluations, obviously, net income is growing for all the dealerships and so you would expect to pay more for dealer. When you think about valuations, are we thinking more blue sky multiples maybe being able to touch higher than they were?
Bryan DeBoer: Brett, yeah, I think, that’s a fair statement. I mean, we obviously have fairly high hurdle rates on what we expect out of the acquisitions, we’re typically looking at our average performing stores if you recall, because for us to hit our hurdle rates, we need to be able to double or triple the profit potential of where they currently exist to be able to pay a goodwill multiple that’s usually excepted by a seller. So it’s a little bit different candidates and we are looking for them maybe even some of the -- some of our peer group. And I think because of that ability to be able to bring value to those acquisitions and be able to operate them at a higher level of profitability it makes a little easier for us to still stay in the game on buying stores.
Brett Hoselton: Excellent. Thank you very much, gentlemen.
Bryan DeBoer: Thanks Brett.
Chris Holzshu: Thanks, Brett.
Operator: Our next question comes from John Murphy with Bank of America-Merrill Lynch. Please state your question.
Liz Suzuki: Good morning. This is Liz Suzuki on for John. It looks like the domestic brand growth lagged a little bit compared to import in luxury, is that more a function of the mix of the acquired stores or more a reflection of market share shift between brands in the market?
Bryan DeBoer: Liz, this is Bryan. I think, nationally -- it had nothing to do with our acquisitions to DCH or the mix of our type of stores. I mean on a same-store basis, if you recall, our unit sales are up 7% in domestic as compared to the nation at 4%, which is a delta of 3%. The imports were up 10% and nation was up 6%, which is a delta of 4%. And luxury was up 12% with the 11% which is a 1% delta. So our stores kind of performed a little bit above national in all three categories.
Liz Suzuki: Great. Thanks. And for acquisitions, are there any particular brands that you’d prefer to be more or less exposed to than their current mix?
Bryan DeBoer: This is Bryan again. So we are about a quarter Honda, little less than a quarter Toyota and about 17%, 18% Chrysler product, followed by a Ford and Chevrolet and Subaru, with some luxuries in BMW. But when we look at acquisitions, we like the balance of our current portfolio. So, I think when we when we look towards a target, we are looking for that balanced approach as well, whereas I would say pre-DCH acquisition. It may have been a little bit more import in luxury focus. But being that they were almost 95% import luxury that helped balance us out pretty quickly where we aren’t having to stretch on one type of brand or another. So we are pretty balanced in that arena now.
Liz Suzuki: Great. And just one more quick one. It looks like you guys are around 2.2 times levered at the end of the quarter. Was it covenant requirement of no more than 5 times, how comfortable do you think you’d be to get to higher levels of leverage in the 3 times to 3.5 times range?
Chris Holzshu: Yeah, Liz. This is Chris. We said that our optimized leverage would be somewhere between 2.5 and 3 times. And at 2.2 times, we are definitely below that. I think that our primary use of capital is going to continue to be deploying it on acquisitions. And we feel pretty optimistic that mid-term, we are going to continue to bring leverage down until those acquisitions come to fruition. As an example, pre-DCH, our leverage ratio was somewhere near 1.3 times and post-acquisition popped up to I think 2.7 times. Optically, I think that we are going to continue to see leverage fall for a few quarters. But with their acquisition team and the acquisitions that are out there in the market room, there’s plenty of headroom ahead of us and we are going to continue to deploy capital in that arena.\ However, we did buy back some shares in the quarter. I think we bought back about 77,000 shares. We also raised our dividend in the quarter and we invested $25 million in our existing stores. So, we are going to continue to stay balanced but focused on the acquisition front.
Liz Suzuki: Great. Thank you.
Operator: Our next question comes from Rick Nelson with Stephens. Please state your question.
Rick Nelson: Thanks. Good morning. Question...
Bryan DeBoer: Hi, Rick.
Rick Nelson: ....on the incremental gross profit flow through, as I calculated on a consolidated basis 23.9%. You had mentioned same-store flow-throughs of 45%. I take as a difference being the acquisitions largely DCH. Is there anything structural with DCH that would prevent you from getting to those sorts of same-store flow-throughs?
Chris Holzshu: Hey, Rick. This is Chris. No, I think we are optimistic that mid-term, we are going to continue to target flow through for both the DCH stores and the Lithia stores in the 45% to 50% range. I just would call out that on a first year of acquisitions, the flow through is equivalent to the inverse of your SG&A to gross. So if a store on an SG&A to gross basis does 80%, the flow-through as we calculated on that would be 20%. So you have to wait for a full-year comp in order to really do the flow-through analysis and that’s why it looked so low on a consolidated basis.
Sid DeBoer: Rick, this is Sid. It's real important to remember that we have to keep and grow volume at those DCH stores at the same time and that growth, we can bring in at a better SG&A.
Rick Nelson: Okay. Got you. I guess same question about the used-to-new ratio for similar same-store calculating point 0.92 on a consolidated 0.79, again anything structural that would not allow you to grow the used with DCH?
Bryan DeBoer: Rick, this is Bryan. I think the idea when you look at a used-to-new ratio on DCH, it might be a little bit different. However, I do believe that there is huge growth opportunity within DCH. But remember, many of their stores are high volume. In fact, it was neat to hear when I was driving in this morning on Sirius Radio, I listened to K100 New York so I can hear about traffic reports. Now that we are spending time out with a lot of the investment community, and I heard a DCH ad and they talked about before New York Honda stores, which was pretty cool anyway. So when you start to look at that, you go, you know what we could spend that into used cars and we can continue to grow those things. But the idea of a 0.9 to 1, I think it’s fair to say that we still strive for Lithia to get to a point -- a 1.5 to 1 on our used new ratio. And I think if DCH was pushing in the 0.8 to 0.9 to 1, that would be a pretty solid job considering that, Brian Lam store Paramus Honda sold 466 I believe new Hondas last month. That’s a pretty hard number to achieve, a 1 to 1 at 466 when I think the best Honda store in the country probably sold 250 to 300 used cars.
Rick Nelson: Okay. Curiosity, where does DCH sit now with the used to new ratio, recognizing pushing a lot of new cars in those stores?
Bryan DeBoer: It’s currently at 0.5 to 1.
Rick Nelson: Okay. Thanks a lot. And good luck.
Bryan DeBoer: Thank you.
Operator: Our next question comes from Bret Jordan with BB&T Capital Markets. Please state your question.
Bret Jordan: Hi. Good morning. Bryan, a regional performance and I think you’ve got the slide in the desk still it talks about your at least Western regions still underperforming '06 peak levels. Do you have a feelings for what your regional SAAR was in the first quarter just to compare your growth relative to the growth in the market?
Bryan DeBoer: Wait, hold on one second. We're trying to get that.
Bret Jordan: And while you’re digging on, I’ll ask another one. Just to track what lease penetration is, it didn’t seem like your Lithia core business have a potential to pick some best practices up from DCH. Do you have a lease number for the quarter?
Chris Holzshu: Hi, Bret, this is Chris. I think first off, on your regional question as far as what SAAR is, I mean we don’t really back into an actual SAAR equivalent number. As you pointed out on page nine of our presentation, we show you the incremental opportunity that’s left in each one of our markets. And we could give you some more color on each date to get a feel for how those are improving. Bryan mentioned about four of those earlier in the call related to the oil state and we can give you some more color on those, if that’s helpful. And then as far as lease penetration is concerned, Bryan do you want to take that?
Bryan DeBoer: Yes, absolutely. I think we spoke to you a little bit last time that DCH’s ability to lease cars it continues to grow. They are in the mid-30 percentile range on their new vehicle leasing. I think in terms of Lithia outlook, it’s starting to take hold within Lithia. It could have something that to do with a little bit better new vehicle quarter. I don’t believe that we hit double digits yet, I think it’s high-single digits in 8% to 9% range. So we still have lots of opportunity to be able to expand our market share by providing leasing opportunities to our consumer base.
Bret Jordan: Okay. And then one last question. On the collision, the minus 3% comp, is that just weather related, or is there anything going on in the collision place?
Bryan DeBoer: Yes. This is Bryan again. That’s really a function again of some turnover in management in two stores in Texas, which are two large body shops. I think it is the short-term blip. We since have a new lealers within our two stores and hopefully we see that trend there reverse itself.
Bret Jordan: Okay. Great. Thank you.
Bryan DeBoer: Yes. Bret to answer your first question. And so Alaska was up 25%, California was up 22% in the quarter, Oregon was up 24%, and Washington was up 16%. So overall, the sales up 11%, those markets definitely performed a little better than our other markets.
Bret Jordan: Okay.
Bryan DeBoer: Showing that there was still opportunities.
Bret Jordan: Yes.
Bryan DeBoer: Thanks, Bret.
Operator: Thank you. There are no further questions at this time. I will turn the call back to management for closing remarks.
Bryan DeBoer: Thank you for joining us today. We look forward to talking to you again in July.